Operator: Good afternoon, ladies and gentlemen, and welcome to the Conference Call of AIXTRON SE regarding the full-year and Q4 2021 results. At this time, all participants have been placed on a listen-only mode. The floor will be opened for questions following the presentation. Let me now turn the floor over to your host, Guido Pickert.
Guido Pickert: Thank you very much, Operator. Welcome to AIXTRON 's presentation of our Q4 and Full Year 2021 Results. I'd like to welcome our CEO, Felix Grawert, as well as our CFO, Dr. Christian Danninger. As the Operator indicated, this call is being recorded by AIXTRON and is considered copyright material. As such, it cannot be recorded or rebroadcast without explicit permission. Your participation in this call implies your consent to this recording. Please take note of our Safe Harbor statements, which can be found on Page 2 of our results presentation slide deck, as it applies throughout the conference call. This call is not being immediately presented via webcast, or any other medium. However, we will place an audio file of the recording or transcript on our website at some point after the call under the Events section. I would now like to hand you over to our CEO, Dr. Felix Grawert for opening remarks. Felix?
Felix Grawert: Thank you, Guido. Let me also welcome you all to our full year 2021 results presentation. I will start with an overview of the highlights in the year, and then hand over to Christian for more details on our financial figures and our EC related initiatives. Finally, I will give you an update on the development of our business, and I will present our new 2022 full year guidance to you. Let me start by giving you an overview of the two developments in [Indiscernible] quarter ended year on Slide 2. Here, let me start with the very good news about our business development of 2021. This was a very exciting and successful year for us. We were able to increase our order by 65% and our revenues by 59%. Our operating income and net profit almost [Indiscernible]. We have achieved our guidance in all metrics with total order close to €500 million, revenues of €429 million, and gross margin of 42% and an EBIT margin of 23%. Given the constrained global supply chain and logistic, our team did a fantastic job in achieving exception output and results. But behind all this is the strong demand growth from our customers, particularly driven by the volume ramp of current metric-based power electronic. The demand growth is fueled by a broad-base of application segments coming from the global mega trend of sustainability, electrification, and digitization. We observed that in some areas such as power electronic, compound study conducted a moving from their [Indiscernible] of being specialty and niche material, to become the workhorse in some of these segments of the semiconductor volume market. Composed study conducted are a key technology for numerous area, as they are superior to the incumbent silicon-based semiconductors in many aspects. This would drive our growth on a sustainable basis. In 2022, we see continuation of the strong order momentum throughout all our key markets. The demand remains balanced across the different applications. Overall, we expect a double-digit growth yet again. Let me have a quick look at our Q4 performance, starting with our order intake. As in previous quarter, GaN power was again the strongest contributor to our quarter. Wireless and optical data communication, LED and lasers also add sizable the contribution. In total, Q4 order came in at €120 million. Revenues in Q4 were at €181 million, which is the highest level of the last ten years, as we were able to meet customer demand. It is important to note that this showed that our manufacturing and supply chain are well equipped for further growth in the year to come. Growth margin in Q4 with 44% and EBIT margin 32%, both being an expression of our profitable business model. Overall, we felt strong profitable growth in 2021 and we will continue to grow all during 2022 and beyond. I will explain the details of our new 2022 guidance to you later in this call. Before I hand over to Christian, I'm happy to announce that we would propose to our shareholders to pay out a dividend of €0.30 per share following this successful year. This proposal is subject to shareholder approval on our virtual Annual General Meeting on May 25. This would represent a payout ratio of 35% of our group net results. Now, I will be handing over to our CFO, Christian Danninger, who will take you through the Q4 and full year 2021 financial. Christian.
Christian Danninger: Thanks, Felix. And hello, everyone. Before I start the review of financials, I'd like to take the opportunity to give you an update on our [Indiscernible] performance and related activity. We regularly receive [Indiscernible] ratings from rating agencies like ISS, MSCI, EDP, or Sustainalytics. While all of our ratings are quite positive already, CDP has further rate already significantly for 4 levels from E to B and MSCI went up from BBB to A in 2021. We are also aware that we are a climate neutral company already since 2019. To further push and accelerate our year-to-year [Indiscernible], we have recently upgraded our organization as picked up in this area. We have established a new position of ESG and sustainability management reporting directly to me. For further compliment that we are committed to play a leading role in the field of ESG, we have today already reported EU taxonomy aligned figures on a voluntary basis for 2021, which goes beyond the leisure requirement to report EU taxonomy in [Indiscernible] figure only for '21. At the [Indiscernible] analysis and assessment process, we have had 67% of our revenue, so more than half, 39% capex and 76% of OPEX to be EU taxonomy aligned and thus considered environmentally sustainable in the sense of the EU taxonomy regulation. At AIXTRON, OPEX is under the EU taxonomy regulation corresponds to the company's R&D expenses. Therefore, we are particularly proud on the high results for the two key figures OPEX and capex. Simply document the sustainability of AIXTRON's investment strategy, especially in research and development. Consequently, a further increase in environmentally sustainable link convenient revenue in the next years is likely when the newly developed technologies move into growth adaptation. These taxonomy aligned technologies are Wide-Band-Gap power semiconductors based on Gallium nitride and silicon carbide as the key to energy efficient power electronics, Micro LEDs for the next generation of display. Lasers for data communication is a key technology for the digitalization of our work and some more. All these technologies have one thing in common, they are much more energy-efficient compared to the current technologies available on the market, and thus, contribute significantly to the reduction of greenhouse gas emission. Among many other benefit of this technology is significantly support the global efforts to mitigate climate change. For further details, I refer to Slide 9 of our Investor Presentation and to our Sustainability Report 2021. Let me now continue with our income statement on Slide 3. As Felix mentioned, total revenue for the year was €429 million compared with €269 million in 2020. This reflects almost 60% growth over the previous year. Revenues in quarter four, 2021, even grew by 6% to 7% year-on-year. The 2021 gross margin of 42%, was 2% point higher compared to the same period last year. In Q4 2021, gross margin was 44% compared to 42% a year ago. The difference is mainly due to a higher share of products shipped with better margins in Q4 '21 versus Q4 of 2020. Operating expenses for the year increased from €73 million in 2020 to €83 million in 2021. The increase in annual operating expenses was mainly due to the following sector, firstly, we incurred higher variable compensation components and we incurred one-time expenses for the restructuring and the wind down of our PVA propylene to approximately €3.9 million. With that, all cost of liquidation are provided for, and no further costs are expected. Secondly, in the prior year, we had a positive one-time effect in other operating income of €3 million. In Q4 2021, operating expenses increased slightly to €22 million, compared to €21 million in Q4 2020. SG&A expenses of €35 million in '21 were €8 million higher year-on-year, mainly due to the sectors I just mentioned. R&D expenses in 2021 remained roughly stable at €57 million versus €58 million in the same period last year. This reflects lower running costs for APEVA during the year, largely offset by increased [Indiscernible] for the development and completion of our next-generation MOCVD equipment. In 2021, we recorded net operating income of €10 million, which was below the €13 million recorded the year before. This difference was mainly due to the other operating income of almost €3 million in 2020, as mentioned before. Our 2021 EBIT worth €99 million at a margin of 23% versus an EBIT of €35 million added 13% margin in the prior year. This was mainly due to the year-on-year increase in revenues and with it, corresponding increase in gross profit. The 184% higher EBIT at 59% higher revenue in 2021, proves the strong operating leverage effect we have on higher revenues, translating over proportionately into bottom line earnings. In Q4 '21, we realized an EBIT of €58 million and an EBIT margin of 32% for the quarter, compared to €25 million in 23% in Q4 2020, demonstrating the same effect. For the full year, we incurred total expenses of €4 million at a tax rate of 4%, compared to €1 million tax expense at a tax rate of 2% in the prior year. In both years, we were able to utilize historical tax loss carry forwards. And capitalize some additional deferred tax assets based on expected future profits. We generated a net profit of €95 million in 2021, compared to €35 million in the same period of 2020, primarily due to the discussed volume and margin effects. Per-share, this means €0.85 in '21 versus €0.41 in 2020. Turning to the balance sheet on the next slide. Inventories have risen to €121 million from €79 million at the end of 2020 in preparation for the further increasing both business volume in 2022. Advanced payments received from customers increased to €77 million from €51 million at the end of 2020, which represents about 35% of order backlog. Trade receivables increased to €81 million, mainly due to the very reason strong deliveries made in Q4, for which we expect to collect payments primarily in Q1 of this year. Our cash balance, including other financial assets and post our €12 million dividend payments in May, increased to €352 million at the end of the year from €310 million at the end of 2020. Moving forward, cash flow statement on Slide 5. Mainly due to the increase in net income for the year and the increased trade receivables at the balance sheet date, free cash flow for 2021 was €49 million. In Q4 of '21, it was €21 million. With that, let me hand you back over to Felix.
Felix Grawert: Thank you, Christian. Before concluding with the outlook for the rest of this year, I would now like to give you a quick update on the development in our addressed markets. In all our addressed end markets, we continue to see strong momentum. In 2021, our revenues in power electronics, which include the material system, GaN, and silicon carbide stick doubled year-on-year. Also, revenues in optoelectronics, which included Wireless and Optical Datacom, 3D-Sensing, and compound solar, almost doubled year-on-year. Our aid-view related revenues went up by 39% compared to 2020. We see further growth potential in '22 and beyond as the demand for our technology is fueled by sustainability, electrification, and digitization, all of which are global net attract. In GaN power, we're at the beginning of a multiyear growth cycle. GaN-based power switches are being increasingly adopted for a wide spread number of application in the areas of IT, infrastructure, renewable energy, data centers, [Indiscernible], just the maintenance and some examples. Please remember that some time ago, we were only talking about fast charger of cellphones. Some customers are now been telling us that their roadmaps has been put it in by two to three year due to the acceleration of adoption. For overall, this market is developing very dynamically and we're supporting notch CapEx pensions of our existing customers, while also supporting new entrants to definitive. In silicon carbide power, we are very pleased about the development of order, having accelerated in the cost of 2021 to representing 15% of equipment orders in Q4. And based on our current order pipeline, we expect that positive momentum to continue in '22. Our new silicon carbide Epi tool, which is suitable for 6-inch and 8-inch wafers is getting great customer feedback. And even though it's still in development, we are already receiving sizable order for it. This makes the confidence that silicon carbide orders and revenue will already make a significant contribution to our business in '22, especially in the second half of the year, as we continue to be in contact with all industry players. For NV application, momentum also remains strong driven by the demand for red, orange, yellow, and green, which are used in fine pitch display, but also in horticulture applications such as indoor farm. In micro-LED, we're part of major development projects of large customer, electronic players, and LED specialists, such as HC SemiTek, with who we announced the collaboration yesterday. We get clear thickness from customers that innovative displays of the next generation will all be based on micro-LED rather than OLED. This is very good news for us as our MOCVD tool are very well-positioned here and the same properties become relevant that make up for successful in GaN power, and in major [Indiscernible]. Hence, we have decided to close down our OLED subsidiary, APEVA. But this is good news as the alternative also brings us into the display market but with a much stronger position right from the beginning. We expect a growing contribution of Micro LED to our order already during 2022 with shipments taking place this latest year or in '23. To complete, we enjoyed a very positive momentum from our addressed markets. However, we continue to watch the development of the global supply situation very carefully. And we remain ready to take measure, should it become necessary. With that, let me now present our '22 guidance on Slide 6. First of all, very important to note that our guidance is based on our 2022 budget exchange rate of $1.20 to the Euro. In the quarters to come, revenues and profit margins will be reported based on actual exchange rate, which may differ from our budget year. So for 2022, total orders we received are I expect it to rise further year-on-year to a range between €520 million and €580 million. [Indiscernible] €497 million in 2021. With an opening backlog of €217 million for '22, we expect revenue in the year in a range between €450 million and 500 million, growing further from the 429 that we had achieved in '21. We expect our gross margin to be around 41%, and an EBIT margin in the range between 21% and 23%. This guidance include our R&D spending from the completion of the development of our next-generation products, as well as our activities that strengthen our organization in anticipation of further growth ahead of us. We had made our guidance based on the assumption that our business will not be impacted by any global crisis or pandemic. In summary, we are looking forward to see another growth yet in '22 as strong momentum driven by multiple end markets continue with the underlying trend and fully intact. And with that, I'll pass it back to Guido before we take questions.
A - Guido Pickert: Thank you very much, Felix and Christian. Operator, we will now take questions, please.
Operator: Yes, sure. Ladies and gentlemen, [Operator Instructions]. And the first question comes from Stephane Houri from ODDO BHF. Please go ahead with your question.
Stephane Houri: Yes. Good afternoon, everyone. My first question would be about the guidance for the orders for 2022, which is strong. Could you share with us what will be the proportion of each of your key markets in your guidance if silicon carbide will take a bigger share or if it will be still GaN related or even if Micro LED will take -- will start to take a share? And the second question is about the market share gains in silicon carbide. Just to know if you feel confident in gaining new significant customers or let's say incumbent already in 2022. Thank you very much.
Felix Grawert: Thank you for your questions. Let me come to the first part. The rough order intake is split anticipation for 2022. While of course, it's difficult for the future, we have a rough indication. We believe that in '22, order intake, again, will come roughly around to be from the power electronics domain. I would say maybe two-thirds Gallium nitride,one-third silicon carbide, something like that. Rough number, and the other half of the order intake, I would expect from the optoelectronics business. And within the optoelectronics, I would expect that smaller portion from lasers and VCSELs, and another smaller portion from Datacom/Telecom, a reasonable portion from the LED -- and the remaining portion then from the LED world. And here, I would expect from the LED world, maybe 50/50 between fine pitch and mini LED and 50% from micro-LED, to give you a rough indication. So that was the first part of the question getting you a rough split on the order intake, how it could break down. And now, I come to the second part of your question on the silicon carbide and market share gain. I think at this point in time, we can say that we are work -- working very closely together by now with two of the very large player in this market. And from two of them, very large players in this market, we have received very sizable order and we expect throughout 2022, additional very sizable order. And at the same time, we have been qualified or we have been chosen or are in the process of getting qualified from roughly 10 other customers in silicon carbide, And who I would not count into today's group of the top five, but of course, all of them having the aspiration to rise into the top ten. We know how it is. In the competitive environment, everybody wants to be among the top five or top ten. So I think this is a pretty good pipeline of the overall market, given that we have a new entrant in this market and we're gradually gaining market share. And I see us on a good way forward.
Stephane Houri: Yes. Just to confirm what you've just said, because my line was not so good. You have said that among the two -- among two -- among the key electric players in the markets, you have been qualified by two and you have received order from one, is that correct?
Felix Grawert: No, that's not correct. I said we are working closely together with two of these players and from two of these players, we have received large order, and from two of these large players, we expect to receive additional large orders in '22.
Stephane Houri: Okay. That's clear. Thank you very much.
Operator: The next question comes from Olivia Honychurch, from Jefferies. Please go ahead with your question.
Olivia Honychurch: Hi there, thank you for taking my question. I've actually got a couple. One is on Micro-LED and the other is on your margin guide. So on the Micro-LED side, you said -- and it's very exciting that the market should be adopting that technology quicker than you previously expected. And obviously, you've announced the contract with HC SemiTek yesterday. You've also just said on the call, that you expect shipments to start for Micro-LED systems at the end of this year. My question really is, when exactly do you expect to receive commercial volume shipments for micro-LED? Is that something that we can think about happening as early as the end of this year, or will that commercial level be more of a 2023 story? So that to my Micro LED question. And then, I'll just quickly go ahead on the margin guidance. 41% gross margin, this has been conservative given that you [Indiscernible] 42.3% last year. What's stopping your margin from growing this year? Because obviously, we've got to think about the fact that your product make is becoming more favorable, and obviously, you're doing a lot of work on higher productivity systems. So I'm just trying to get my head around work. What exactly stopping margins from going up with this year? Thank you.
Felix Grawert: Thank you very much, Olivia, for the questions. I'll take the first one and Christian will take the second one. On the Micro LEDs, we expect to the volume ramp to be starting towards the end of 2022, sometime in the fourth quarter, and then to come with along throughout the whole year of 2023 and continue in '24. So the starting point I would put somewhere in the fourth quarter of this year. And that here, we talked about commercial volume, not the R&D system, but a sizable commercial volume. I hope that answers your question. And Christian, maybe you take the margin topic?
Christian Danninger: Yeah. The margin topic, of course, has two aspects. The gross margin as you see is -- yes, we keep it quite consistent. There's always a product mix affecting. There's always aspects affecting in there, not 100% easy to really predict precisely. On an EBITDA margin perspective, we could be able to squeeze out more, but we are also on the other side very committed to keep our R&D spend high. And that limits a little bit the translation to need to EBIT, but it is quite consistent with the last year. And we believe the investment return to R&D to be the best investment possible. That's why we continue keeping it at a high rate.
Felix Grawert: Let me build on what Christian said with respect to the gross margin. Olivia, you also asked about our product mix? For sure, the new product come with much higher productivity, which reflect the margin. And of course, we continue to run, and also at some of our older products. I think within either Q1 or Q2, that would be one quarter where the product mix will still be largely comprised of some older product, meaning a lower cost margin, so I trust in years, there will still be based on product mix, I think everybody is used to from AIXTRON, quite some fluctuation. But the overall trend that our new products deliver higher -- or significantly higher cost margin, that remains intact.
Olivia Honychurch: Perfect. Thank you so much.
Operator: The next question comes from Uwe Schupp from Deutsche Bank. Please go ahead with your question.
Uwe Schupp: Yeah. Thanks. Good afternoon. Hi, gentlemen. Two for me as well. Firstly, a follow-up on the Micro LED. What products really, should consumers and should we expect to see in shelves first, in terms of commercial products? I think in the past, you indicated that on the smaller display sizes, it would be more on the smartwatches side of things and on the upper end, it would be high-end televisions. Is that still the case, or do you see a change here in the potential applications? And secondly, Christian, can you update us on your foreign exchange exposure? I'm just trying to read that guidance and that margin guidance in particular, with the budget rate of the 120 that you have been alluding to. Thank you.
Felix Grawert: Good question. So the guidance we had given about the initial product for micro-LED is still fully intact. So we, in fact anticipate the first products to be smartwatches, and then also high-end televisions, and then at the later stage, smartphones, AR, VR glasses, laptop displays and maybe in medium size or large, but not gigantic size, the cheap television gradually step-by-step coming in. Yes, it will be a multiyear roadmap of different types of displays.
Uwe Schupp: And I'm sorry, Felix, that's very helpful, just the the evergreen question that we have to ask on every conference call. Off the peak micro-LED projects that you are seeing across the globe, do you believe that you are part of them, in 80%, 90% higher?
Felix Grawert: I think that the exact quantification would be dangerous in this place. I'd say that with a smile because I think many of the big consumer electronics players will try to run the projects in a stealth mode and we might not see all of them. But I would clearly expect that we are part of many of these projects, given that we work with quite as tight of a numbers of consumer electronics player together in last collaboration project.
Uwe Schupp: Thank you.
Christian Danninger: Okay, and then I'm happy to give you some insights here on our U.S. dollar exposure. Historically, we run at a U.S. dollar share in savings so of between 30% to 40%. That is always fluctuating little bit. It has been decreasing, but it's about the range. And I mean consequently is the U.S. dollar became stronger. We also changed the rate to 120 recently. It is much more favorable. With that, I think you can run your numbers and quantify what a potential upside will be.
Uwe Schupp: That's very helpful. And basically your cost exposure is still virtually 100% in Europe. Is that correct?
Christian Danninger: Yeah. 100% is -- I would not confirm 100%, but it's minor.
Uwe Schupp: That's very clear. Thank you.
Operator: The next question comes from Charlotte Friedrichs from Berenberg. Please go ahead with your question.
Charlotte Friedrichs: Hello. Thank you for taking my questions. The first one would be around the quarterly phasing, both for the order intake and also the shipments. Are you already seeing an uptick here in order intake in the first couple of months of the year now? And on the shipment side, should we expect again a year where shipments are largely geared towards the fourth quarter or is it going to be a little bit more even this time around? And then the second question would be on the cost development and procurement. Are you seeing any significant pressure here from input cost inflation or difficulties to procure certain components? Thank you.
Felix Grawert: Thank you. First question, are the intake and revenue split across the quarters of the year? I think order intake is always a bit difficult to forecast when exactly the customer placing the order. We know that the base line of an exact quarter is a bit arbitrary. So I would say, let's get started with assumption of an even order intake and let's be ready for enterprises around that. And I wouldn't get more -- I want to get more concrete. I think on the revenue side, we are not expecting to keep such an extreme and pronounced peak at what's the fourth-quarter. That is what we are not expecting. Nevertheless, we would be a bit softer in the first half of the year and then a bit stronger towards the second -- Q3 and Q4. I take the midpoint of our guidance and you know I take them as, or whatever, a couple of millions down for the first two quarters, and couple of millions up on the second two quarters, if you know what I mean by that. So it's not that we start with whatever 15% of revenue was from the first quarter and end up with, I don't know, 65% of revenues in the fourth quarter, as we did in 2021. So I hope that answers your question.
Charlotte Friedrichs: Yes.
Felix Grawert: A bit less in the first half, a bit more in the second half of the year. I come to the second part of your question. Cost of procurement and also limitations of supply chain, if I got your question right. We -- our supply chain is very well suitable of keeping up with the growth and with the demand. We have caused to work very closely with our suppliers to prepare them for the order. Where -- when needed, [Indiscernible] and very actively make sure that the supply capacities are given. So we do not bottleneck or risks that would block us from realizing the guidance that we have given. In terms of cost and in some aspects, we are expecting the cost -- the procured input quantities to go up. However, our business is a very long-term forward-looking business, so the purchase contracts for the material that we need for the 2022 revenue, have already been closed or have been quoted. We do not see in the year 2022, cost increases. So there's the guidance and all these elements that we've put out in terms of financial, you could say are based on the 2021 cost level. And then for 2023 yet for sure, we will see a certain amount of cost increases, but we also expect to be able to pass on part of those cost increases depends on which elements to our customer.
Charlotte Friedrichs: Understood. And then a follow-up if I may. If I heard correctly, you said in the beginning in the prepared remarks that in your order intake in the fourth quarter about 15% was from silicon carbide. Did I hear that correctly? And can you give us the contribution of the other end markets?
Felix Grawert: In the fourth quarter of '21, which we just passed, let me have a look here. Yes, it was the silicon carbide for a sizable amount. I think we then had about a quarter GaN power. I think we still didn't had quite sizable telecom optical data communication. And we also had quite sizable Micro LED and quite sizable a fine pitched [Indiscernible] plate. Let's put them all on an equal level.
Operator: And the next question comes from Jürgen Wagner from Stifel Europe. Please go ahead with your question.
Jürgen Wagner: Good afternoon. Thank you for letting me on. What is the split of your equipment on the backlog? I mean amongst the products you've just mentioned and to follow-up on your micro-LED comments earlier, how much micro-LED orders in your audit guidance for '22? Thank you.
Felix Grawert: For the list of the backlog, I can only give you a rough indication. Let me think how we can derive that. I think for this list of order backlog, honestly, I don't have the numbers with me, and it would not be serious to give you an indication.
Jürgen Wagner: Okay.
Felix Grawert: Let's come to the second part of your question. That was? Please help me?
Jürgen Wagner: On -- you talked about Micro LED that you expect the inflection or commercial inflection in Q4. How much orders are in your order intake outlook for the current year?
Felix Grawert: I think for the current year 2022, I mentioned that about half of our order intake we're expecting to be from the optoelectronics side. And out of this, for the Micro LED could be around 1/3.
Jürgen Wagner: Okay. Good. Thank you.
Operator: And there is one follow up question from Olivia Honychurch from Jefferies. The floor is yours. Or, maybe this was a mistake. Ms. Honychurch?
Felix Grawert: Okay. [Indiscernible]
Operator: A follow-up question from Stephane Houri from ODDO BHF. Please go ahead with your question. Mr. Houri, your line is open. Okay, no questions. There are no further questions.
Guido Pickert: Okay, then. With that, let's see, could there be another one coming in?
Felix Grawert: Is there a technical problem or someone with more questions?
Operator: Let me check. Maybe there's a question from [Indiscernible] from Jefferies. Please go ahead with your question.
Unidentified Analyst: Hi. I just wanted to follow up actually, on the Micro LED question. Just wanted to know, are you -- is your order momentum for '20, which is all last year and in 2022, is that from one customer who is going to start commercializing in 2020 -- by the end of this year, or is the commercialization quite broad and you're seeing quite a few customers reaching commercialization one point at the same time, and they will start commercializing from the end of this year?
Felix Grawert: That's a very good question. And as mentioned before, we are working together with multiple customers and the orders we have received in '21 and the past year, were also coming from multiple customers. I mentioned that one. We're aware of them -- one customer and starting with a very concrete plan, which I was mentioning. I think other customers are in the preparation, and I would expect them to kick into our 2023. But the concrete end of this year with one concrete [Indiscernible] customer that I had in mind to -- when answering the question.
Unidentified Analyst: Understood. And then just going back to your silicon carbide question, I mean, answer. Just to clarify, so are you saying that you are working closely with two customers, two large customers, who will convert to volume orders this year? But you've already got orders from two large customers so it's two plus two is four totally of the large incumbent players? Is that the correct way to understand this? And the two that you've already got orders, does that include your traditional big customer in North America? Is that already included in that numbers?
Felix Grawert: I mentioned that we had received volume orders from two customers -- two of the very big ones and we expect further orders. So with those -- the big revenue rent ongoing. And I also mentioned that we are closely working and have received orders and also expect to receive further orders with roughly 10 other customers. So we are getting into a broad adoption of our tool into the market. And it's continuing 2022 but of course, and gaining further momentum in 2023. So it's a very good moment for us to gain market share.
Unidentified Analyst: The two large customers -- and so the two large customers, you already had one already if I'm right. So you've added one more into a firm order category. Is that the correct way to think about it?
Felix Grawert: Absolutely.
Unidentified Analyst: Understood. Thank you
Guido Pickert: Okay. Thank you very much to the audience, listeners, and questions. With this, we would like to close this call. Thank you, as I said, for attending. Our next earnings call will be our first quarter '22 results that will be on May 5th. And in May also we will have our AGM and hope that all our investors will participate and cast their vote. Thank you very much and bye.